Kevin Grant: Ladies and gentlemen, thank you for your continued patience. Your meeting will begin shortly. At any time today, please press 0, and a member of our team will be happy to help you. Welcome to Luxfer Holdings PLC's fourth quarter and full year. This morning, we will be reviewing Luxfer Holdings PLC's financial results for the fourth quarter and full year ended 12/31/2025. I am pleased to be joined today by Andrew William Butcher, our Chief Executive Officer, and Stephen M. Webster, our Chief Financial Officer. Today's webcast is accompanied by a presentation that can be accessed at www.luxfer.com. Please note any references to non-GAAP financials are reconciled in the appendix of the presentation. Before we begin, a friendly reminder that any forward-looking statements made about the company's expected financial results are subject to future risks and uncertainties. We undertake no obligation to update any forward-looking statements as a result of new information, future events, or otherwise. Please refer to the safe harbor statement on Slide 2 of today's presentation for further details. During today's call, we will be providing adjusted fourth quarter and full year 2025 financial results, excluding the recently sold graphic arts business and 2024 legal recoveries. Now let me introduce Luxfer Holdings PLC's CEO, Andrew William Butcher. Please turn to Slide 3. Andy, please go ahead.
Andrew William Butcher: Thank you, Kevin. And good morning, everyone. Thank you for joining us. As we close out 2025, I am pleased to describe Luxfer Holdings PLC's performance for the year as successful, disciplined, and even better than we expected at the outset. This sustained positive earnings growth reflects the traction of the operating model we have built over the past several years. I am particularly pleased with the way the organization navigated external during the year, including exchange rate volatility, while continuing to execute at a high level. For the full year, again delivered sales growth while maintaining a consistent operating leverage and strong profitability. EBITDA totaled $51,900,000, up 4%. And adjusted earnings per share was $1.11, up 12% year over year, reflecting our ability to drive earnings through consistent execution and portfolio positioning. We also generated strong free cash flow of $26,200,000 and continue to distribute capital to shareholders. Results for the year were driven primarily by sustained momentum in the electron business, particularly across defense and aerospace applications. Demand for our UGRE and MRE platforms, magnesium aerospace alloys, and certain specialty industrial applications gained in strength as the year progressed and served as a catalyst for full year results. Indeed, the Magtech Solutions team overcame capacity constraints during the year to deliver record volume levels, including the benefit of an add-on to normal annual demand. Within gas cylinders, performance reflected variability in certain end markets, including clean energy, healthcare, and first response programs, although again specialty industrial applications showed improvements. Importantly, the team continued strengthening the underlying cost structure and improving operational efficiency. Across the business, we continued advancing our optimization initiatives, including progress on the Riverside Centre of Excellence and the Powder Saxonburg Centre of Excellence. These initiatives are designed to streamline the footprint, simplify operations, and enhance long-term efficiency. While the financial benefits are expected to begin materializing in late 2026, this year marked meaningful execution progress against these structural priorities. To summarize, 2025 demonstrated our ability to execute, manage the portfolio effectively, and enhance earnings quality and profitability amid uneven demand conditions, reinforcing again the strength of Luxfer Holdings PLC's core operations and value creation strategy. Cated and consistent with our focus on long-term shareholder value, following the completion of the accelerated strategic review the Board has continued to evaluate strategic alternatives. This evaluation remains ongoing. Before turning the call over to Steve, I would like to thank our associates across the organization, their commitment, and execution throughout the year. Their efforts were critical to delivering these results. With that, I will ask Steve to walk through the fourth quarter and full year financial results in more detail.
Stephen M. Webster: Thanks, Andy, and good morning, everyone. Let us turn to Slide 4 for a review of our fourth quarter and full year 2025 consolidated financial results. Looking at the fourth quarter, adjusted sales were $90,700,000, down 5.5% year over year. As shown in the sales bridge, pricing actions contributed $1,600,000 and foreign exchange provided a $1,100,000 tailwind. These positives were more than offset by an $8,000,000 headwind with lower demand in clean energy, automotive, and countermeasure flares. For adjusted EBITDA, positive pricing was more than offset by the impact of lower volumes, resulting in the reduction from last year's quarter. Despite the lower sales level, adjusted EBITDA for the quarter was $13,000,000 ahead of our expectations, with an adjusted EBITDA margin of 14.3%. For a full breakdown, please see the detailed water in the appendix on Slide 12. Now turning to the full year, adjusted sales were $371,200,000, an increase of 2.5%. Adjusted EBITDA totaled $51,900,000, up 4.2%, with an adjusted EBITDA margin of 14%, representing an improvement of 25 basis points compared to 2024. Adjusted earnings per share were $1.11, an increase of 12.1%. Cash from operations totaled $33,900,000, supporting a $9,900,000 reduction in net debt to $31,100,000. We ended 2025 at approximately 0.6 times leverage, providing significant balance sheet strength and strategic flexibility. With that, let us turn to Slide 5 for a closer look at Electron's fourth quarter and full year 2025 results. Turning first to the fourth quarter, sales were $46,900,000, down 1.3% year over year, reflecting lower activity in certain select end markets. Despite the modest reduction in sales, we were pleased that adjusted EBITDA margin remained at a high level of 19.6%, supported by favorable mix and continued focus on higher value aerospace and defense programs. For the full year, Electron made a meaningful contribution to overall results. Sales were $196,400,000, up 11.6% versus the prior year, while adjusted EBITDA totaled $36,900,000, an increase of 16%. Adjusted EBITDA margin expanded to 18.8%, reflecting the continued weighting towards higher margin applications. Full year performance for Magnus Magnesium Aerospace Alloys remained a constant contributor to the. In addition, demand for MRE and UGREs also remained at elevated levels during the year, including the benefit of an add-on to normal annual demand, resulting in record sales volumes. Taken together, these dynamics underscore the earnings power of the electron business, and its ability to perform across varying demand environments. With that, let us turn to Slide 6 for our gas cylinders fourth quarter and full year 2025 results. Looking at the fourth quarter, sales were $43,800,000, down 9.7% year over year, driven primarily by lower SCBA and alternative fuel volumes. Despite the lower sales level, gross margin improved to 17.4%, reflecting favorable mix and operational execution. Adjusted EBITDA for the quarter was $3,800,000, with profitability holding relatively stable. For the full year, gas cylinder sales were $174,800,000, down 6.2%. Adjusted EBITDA for the year was $15,000,000, with an adjusted EBITDA margin of 8.6%. While volumes were lower, margins were supported by favorable mix, strong pricing actions, and continued operational efficiencies. Throughout the year, the business benefited from improved activity in higher margin specialty industrial applications, helped offset continued softness in clean energy and variability in healthcare. Full year comparisons were also affected by elevated U.S. Air Force deliveries in the prior year. The results for the year included higher legal and operational expenses concentrated in the period, including costs associated with one-off employment-related matters and certain customer accommodations. Overall, Gas Cylinders' 2025 performance reflects solid execution through a period of lower demand, actions taken during the year position the business to $370,000,000. Year over year revenue pressure reflects several timing dynamics, including the expected absence of an MRE add-on, temporary softness in high-end automotive applications, short-term headwinds within space programs, and some pull forward into 2025. That said, we expect continued strength in high margin core aerospace and defense markets. Adjusted earnings per share are expected to be in the range of $1.5 to $1.2 with a midpoint of approximately $1.12. Adjusted EBITDA is expected to be in the range of $50,000,000 to $55,000,000, reflecting continued margin stability and, later in the year, the benefit of action currently underway at our Riverside Centre of Excellence. Turning to cash and capital deployment. We expect cash flow of approximately $20,000,000 to $25,000,000 in 2020. Capsule expenditures are expected to be above normal levels, between $15,000,000 and $20,000,000, primarily supporting optimization initiatives, growth opportunities, and productivity improvements. We expect a tax rate of approximately 23%, interest expense of $3,000,000 to $4,000,000, and net leverage at approximately 0.7 times. As previously mentioned, approximately $2,000,000 of orders were pulled forward from 2026 into quarter four of last year, ahead of the Pomona to Riverside optimization initiative. And we note the equipment moves and commissioning during quarter one will cause inefficiencies. As a result, combined with normal seasonality, and tougher first quarter comparisons, expect quarter one earnings to be softer than the prior year. Regarding FX sensitivity, the average GBP exchange rate in 2025 was approximately 1.32. Our 2026 planning assumption is 1.35, represents an approximate $0.02 headwind to earnings on a constant currency basis. In addition, our 2026 guidance excludes non-recurring advisory costs associated with the Board's ongoing evaluation of strategic alternatives, which we expect to be reflected as one-time expenses during the year. Overall, our outlook reflects thoughtful planning and the structural actions already underway. And we believe we are well positioned to navigate 2026 while maintaining strong margins and a robust balance sheet. With that, I will turn the call back to Andy.
Andrew William Butcher: Thank you, Steve. Please turn to Slide 8. Luxfer Holdings PLC remains sharply focused on sustained profitable growth. Over the past several years, we have strengthened the portfolio, streamlined our footprint, and reinforced our operating model to perform through the macroeconomic cycles while improving the long-term earnings profile of the business. Our strategy centers on specialized materials, engineering value-added niche applications, and disciplined execution, underpinned by the Luxfer Holdings PLC business system which drives innovation, commercial excellence, and operational rigor. We expect to deliver steady performance in 2026, supported by core aerospace and defense demands and the structural actions being implemented across our footprints. While temporary off-cycle demand shifts moderate short-term growth, our streamlined cost base positions us to convert any incremental volume into improved earnings. At the same time, we are advancing new product introductions within Electron, including specialized safety and defense-oriented applications, while also launching next-generation gas cylinder products into the SCBA and space arenas. Looking ahead to 2027, several dynamics are expected to become more favorable. We anticipate the beginning of a new multiyear SCBA replacement cycle, the return of high-end automotive platform activity as model cycles reset, and the potential for another MRE add-on year. Combined with the full benefit of efficiency initiatives already underway, these factors position the business to translate revenue growth into higher profitability. In short, we believe Luxfer Holdings PLC's positioned to navigate 2026 while maintaining margin strength and building toward a more favorable growth environment in 2027. With that context, I will turn to our closing side to summarize today's key messages. Please turn to Slide 9. Our value creation strategy is grounded in disciplined execution while also positioning the business to capitalize on evolving end market trends. In 2025, we delivered another year of earnings growth, margin expansion, strong cash generation, reinforcing the quality of the portfolio. Electron's defense and aerospace platforms were key drivers of performance, demonstrating the strength of our higher value applications. Gas cylinders navigated program timing and end market variability while executing pricing actions and continuing to strengthen its cost structure and competitive position. Structural actions across the footprint are beginning to enhance efficiency and position the business to perform through changing macroeconomic conditions and shifting customer demand. As we look ahead, the headwind shaping 2026 are primarily timing related, not structural. As those factors normalize, we see a clear pathway to renewed and accelerated top line growth and earnings expansion. Overall, we remain confident in Luxfer Holdings PLC's positioning, the durability of our earnings profile, and our ability to create long-term shareholder value. I will now turn the call back to the operator for questions. Nikki, please go ahead. Thank you.
Operator: We will take our first question from Stephen Michael Ferazani with Sidoti. Please go ahead. Your line is open.
Justin: Good morning. This is Justin on. Thanks for taking questions. Starting on fourth quarter performance, what is driving the continued strength in electron margins?
Andrew William Butcher: Yes. Thank you, Justin. We are very pleased with our Q4 performance. Indeed, the 2025 result. There were good demand throughout the year through our more differentiated products. Aerospace, defense, especially magnesium alloys, magnesium heaters, specialty oil and gas, all of those supported the strong margins in Electron along with strong manufacturing output and led to that adjusted EPS that we saw for the full year up 12% above $1.1.
Justin: Very helpful. And as a follow-up to that, how should we think about electron margin trajectory in 2026? Do you anticipate margins to be sustained at current levels? Or is there potential for further expansion?
Stephen M. Webster: This is Steve. Good morning. I mean, if we look at Electron margins, we always talk about an EBITDA margin of around 20%. And you can see we have been approaching that in 2025, helped by some very strong mix, Andy has mentioned. I would imagine the margin to continue roundabout that percent, that 20% mark. Clearly though, the mix can be a bit variable, but I think with the combination of some of the programs we are putting in place in terms of the restructuring programs, a 20% margin remains the target. And I think we will be fairly close to that as we continue throughout the year.
Andrew William Butcher: You perhaps hinted there, Justin, this is Andy about what white drive an upside scenario. So not currently modeled in our, in our guidance. But some of the upsides could come from overperformance in core defense and aerospace. Maybe a military add-on for SRH, busy hurricane season. And the costs on the cost side, of course, we are working on that restructuring project. So we saw if we saw less disruption there or a faster realization of benefits those would all be potential upsides not currently included in our guidance. So we will be very focused on maximizing the performance in both the business units.
Justin: Great. Thanks for all the color there. Maybe turning to the gas cylinder segment. It is noted that benefits from the North American gas cylinder plant consolidation and the magnesium powders plant investment are expected in late 2026. Can you provide any additional color on the impact of these benefits?
Stephen M. Webster: Sure. Yes, thank you. So as a reminder, we announced last summer that we would be relocating the aerospace and life support product lines in Pomona, California to our Riverside, California facility. And the savings there are up to $4,000,000 once fully executed. Right now, we have gone through the equipment moves. Those started in mid-December and will be substantially complete by the end of the quarter. We are already seeing some initial limit production underway there. The other program is our electron powder center of excellence, where currently we are operating two manufacturing locations in the U.S. for magnesium powder, and we have identified and are actioning an opportunity there to invest very significantly in our Saxonburg site, over $6,000,000 worth of CapEx. That project we also expect to complete before the 2026. And the efficiency and automation benefits there are worth around $2,000,000. That is included in our guidance.
Justin: Okay, great. Thanks for the color again. Maybe looking ahead to 2026 and beyond, I know you briefly mentioned earlier about new product developments. Maybe could you elaborate on those?
Andrew William Butcher: Yes. So in our electron business, let me give an example of some of our magnesium solutions. Products during the course of the year. Building on the success of our commercial late check detection products, we are already putting into the market now a detection product for organophosphates. And that is planned to be followed later in the year with some detection products around nerve agents such as Novichuck. And then on the cylinders side of the business, we have a range of next generation products. I was lucky enough to visit one of our SCBA customers recently. And they are very excited about the potential of our next generation products there. We have also got a new range being introduced for the space market later in the year.
Justin: Exciting. And know, how has adoption trended with the, detection product that you have put into market?
Andrew William Butcher: Yes. So let us check. So a relatively small commercial products that is sold through online and through some of the big box stores. And that is used to help people identify lead that might be present in HELP house paints before they go through a restructuring program. So this is small, low million dollars worth of volume. But it is the start of a platform, a range of new products for Magtech Solutions.
Justin: Got it. Now turning to capital allocation. Given that leverage well under 1x, can you discuss 2026 capital deployment priorities?
Stephen M. Webster: Yes, it is Steve again. I think you will have seen from the guidance slide that the capital expenditure projection is elevated for '26. We spent around $8,000,000 in 2025, which is a little low for us and really represents more sort of maintenance CapEx. Going into 2026, we are projecting $15,000,000 to $20,000,000. I would say a third of that is down to the restructuring, centers of excellence projects that Andy has mentioned. So that is partly the reason for elevated CapEx. We have also got some exciting growth programs that we are looking to fund as well. So number one, accelerated or increased CapEx. Otherwise, certainly in terms of dividend program, that continues at the similar level. We have a normal level of share buyback, which typically runs at around $2,500,000 annually. We would maintain that. We also have an opportunity to do additional opportunistic buybacks should the circumstances arise. We have approval from the Board for that. And we also maintain a program of looking at bolt-on type M and A, both centrally with myself and also the business units tasked with looking at opportunities. So I would say it is fairly a normal expectation in terms of what we normally do.
Justin: Got it. And in terms of that M and A, how are valuations in spaces you might be looking? And maybe if you could touch on any flavor for the size of businesses you might be looking at.
Andrew William Butcher: Yes. So this is Andy. So we operate an M and A framework that we call SOAR, and that is applied in all of the business units, and their task with looking at range of synergistic potential M and A activity that would support our overall strategy of profitable growth. But typically these are, stress these are bolt-on acquisitions up to $80,000,000 I might say. Thanks, Justin.
Justin: Thanks for taking questions and good luck in 2026. I will turn it back.
Operator: Thank you. There are no more questions in the queue. At this time, I will turn the call over to CEO, Andrew William Butcher for final remarks.
Andrew William Butcher: Thank you, Nikki. Luxfer Holdings PLC is well positioned with a durable earnings profile, clear priorities for value creation. Our focus remains on disciplined execution and maximizing shareholder returns. Want to thank our associates for their performance throughout the year and thank you for your continued support.
Operator: Thank you. This concludes Luxfer Holdings PLC's fourth quarter and full year 2025 earnings call. A link to a recording of this webcast will be available on the Luxfer Holdings PLC website at www.luxfer.com. Thank you for your participation. You may now disconnect.